Operator: Hello, and thank you for standing by, and welcome to Allogene Therapeutics Third Quarter of 2022 Conference Call. [Operator Instructions] Please be aware that today's conference call is being recorded. I would now like to turn the call over to Christine Cassiano, Chief Communications Officer. Ms. Cassiano, please go ahead. 
Christine Cassiano: Thank you, operator, and welcome to our Q3 call. After market close, we issued a business update and financial results press release for the third quarter of 2022. This press release and today's webcast are available on our website. We ask you to limit your questions to one per person as we will keep this call to an hour and do our best to get to as many as possible. Joining me today are Dr. David Chang, President and Chief Executive Officer; Dr. Rafael Amado, Executive Vice President of Research and Development; and Dr. Eric Schmidt, Chief Financial Officer. During today's call, we will be making certain forward-looking statements. These may include statements regarding the success and timing of our ongoing and planned clinical trials, data presentations, regulatory filings, future research and development efforts, manufacturing capability and 2022 financial guidance, among other things. These forward-looking statements are based on current information, assumptions and expectations that are subject to change. A description of potential risks can be found in our earnings press release and latest SEC disclosure documents. You are cautioned not to place undue reliance on these forward-looking statements, and Allogene disclaims any obligation to update these statements. I'll now turn the call over to David. 
David Chang: Thank you, Christine, and good afternoon. I will start today's call focused on our most important milestone, the initiation of our Phase 2 trial with ALLO-501A for the treatment of relapsed or refractory large B-cell lymphoma. Advancing our off-the-shelf allogeneic CD19 CAR T product candidate to a Phase 2 trial brings us one step closer to making this potentially life-saving therapy more readily available to the patients. It is a combination of our singular focus over the last three years and signifies our leadership in the development of AlloCAR T product, and, in my view, an advancement for the entire field of cell therapy. As you might imagine, we were very pleased last month to share that we have initiated the industry's first potentially pivotal Phase 2 trial for an allogeneic CAR T product. Being the first comes with a special set of challenges, but it also comes with an enormous sense of accomplishment and responsibility. When we started our journey, we knew there would be a unique set of challenges that we would have to address, ensuring the safety of AlloCAR T products, especially with respect to the graft versus host disease, protecting AlloCAR T cells from being prematurely rejected by the patient's immune system, demonstrating meaningful responses and managing reliable manufacturing of AlloCAR T products. Our depth of understanding around each of these elements, combined with the breadth of our clinical programs and the translational knowledge we have generated puts us at the forefront of science. The journey of drug development is often a winding road. And as we proceed through this journey and work towards addressing the challenges, we attached with keeping our focus. We have been unwavering in our commitment to ourselves, patients and investors to create and lead the next revolution in cancer treatment by delivering to patients the first allogeneic CAR-T products for blood cancers and solid tumors. And initiating this Phase 2 trial places us one meaningful step close to that ultimate goal. To that end, we are very much looking forward to providing a clinical update on our CD19 alpha studies and our BCMA UNIVERSAL trial at our R&D Showcase in New York on November 29. While our usual practice for such update is to target medical conferences, we believe our R&D Showcase will provide more time and flexibility to fully review the clinical findings of our lead programs and discuss that in the context of a gradually evolving landscape. Before I turn the call over to Rafael, I would like to make a few more comments related specifically to the importance of collaboration with like-minded individuals and institutions. Our success to date in a best in cell therapy can only be accomplished with a partnership and support of engaged patient-focused investigators and clinical trial sites. Their dedication to patient care is to be commended and their desire to bring out options for their patients is underscored by the launch of our first of its kind effort we call CAR T Together. Real world access challenges have emerged since the commercial introduction of autologous CAR T five years ago. Cheap among them, the supply bottlenecks created by the complex individualized manufacturing process inherent in the delivery of autologous CAR T therapy. This pioneering initiative conducted in collaboration with key opinion leaders from top oncology centers is aimed at supporting the advancement of allogeneic CAR T products to address bottlenecks through collaboration, education and clinical trial enrollment. Inaugural members of this initiative include lead investigators from Moffitt Cancer Center, the Sarah Cannon Colorado Blood Cancer Institute, the Mayo Clinic and City of Hope. These dedicated physicians and the many more who participate in clinical trials sponsored by Allogene and others are leading the vanguard of scientific innovation. On a personal note, I had the pleasure of working with many of the same KOLs as we traveled the road towards bringing autologous CAR T therapies to patients, and I'm honored that they have chosen to join us again on this next chapter. As we noted last quarter, we started Allogene with the goal of making CAR T readily available to all eligible patients. As we near the conclusion of our fourth year together, we believe we are well along the path to transforming CAR therapy from a complex individualized procedure to an off-the-shelf on-demand pharmaceutical product. My sincere thanks to all our employees, investors, collaborators and patients who have joined us on this journey. I will now turn the call over to Rafael. 
Rafael Amado: Thank you, David. As David noted, our teams are very pleased to have initiated our potentially registrational ALPHA2 trial. Activities are also underway to launch our companion EXPAND Phase 2 trial. The ALPHA2 trial utilizing ALLO-501A in patients with relapsed or refractory large B-cell lymphoma will deploy a single dose of ALLO-501A at 120 million CAR positive cells with a lymphodepletion regimen comprised of fludarabine and cyclophosphamide plus ALLO-647. This single-arm trial will enroll approximately 100 patients who have received at least two prior lines of therapy and have not received prior anti-CD19 therapy. The primary endpoint of this trial is overall response rate with a key secondary endpoint of duration of response. As we onboard clinical site for ALPHA2 in the U.S., we're also continuing our discussions with the European Medicines Agency to initiate the ALPHA2 study at European clinical site. The EXPAND trial, a separate potentially registrational trial, is intended to demonstrate the contribution of ALLO-647 to the standard fludarabine and cyclophosphamide lymphodepletion regimen. Patients will be randomized to receive the same single 120 million cell dose of ALLO-501A as in the ALPHA2 trial and either lymphodepletion with fludarabine and cyclophosphamide alone control arm or the same lymphodepletion regimen of the ALPHA2 trial active arm. The trial is expected to enroll approximately 70 patients with a primary endpoint of progression-free survival and the key secondary endpoints of overall response rate and duration of response. We are looking forward to sharing clinical data from our CD19 program at our R&D Showcase at the end of the month. We are planning to share longer-term follow-up data from the ALPHA and ALPHA2 Phase 1 trial, including our rationale for selecting the dose and schedule of ALLO-501A being deployed in Phase 2. We also expect to share outcomes from patients treated with our Alloy manufacturing process. Our R&D Showcase will also feature updated data from our BCMA program, the only such allogeneic cell therapy program to have established proof of concept. At the event, we plan to share longer-term data from a single dose ALLO-715 in the treatment of patients with relapsed or refractory multiple myeloma. The ALLO-715 program is increasingly exciting as we recognize the growing unmet need for BCMA directed cell therapy and the transformational opportunity that AlloCAR T may play in addressing the need for treatment in these advanced patients. We recognize that the myeloma market is dynamic and believe that multiple innovative approaches will be required to further advance patient care. This is exactly what has transpired for the past 20 years in myeloma. Nonetheless, the profile we are targeting with ALLO-715 appears differentiated among the competition in having the potential to provide patients an immediate off-the-shelf option with onetime dosing. Based upon physician interest in this profile and the clinical outcomes that we have previously shared, we believe that ALLO-715 could play a very important role in the myeloma treatment paradigm. Over the next few days and weeks, we expect a lot of discussion around the potential for innovation in treatment of blood cancers. At Allogene, we believe we now have line of sight not just to potential innovation, but to potential products. We look forward to continuing to execute on this mission and sharing an update with you on November 29th. I'll now turn the call over to Eric. 
Eric Schmidt: Thank you, Rafael, and good afternoon. As I begin my formal remarks, I'd like to focus on a brief update on activities outside of the United States, starting first in China. As many of you will recall, Allogene and Overland partnered a little less than two years ago to create Allogene Overland Biopharm. This joint venture focused on the development, manufacturing and commercialization of AlloCAR T therapies targeting BCMA, CD70, FLT3 and DLL3 in Greater China, Taiwan, South Korea and Singapore arose from a shared vision that cell therapy represented a revolutionary new technology. Developing allogeneic CAR T options was especially important as we knew that autologous therapies would face even greater hurdles to adoption in China, where the population was large, diverse and geographically dispersed. Since inception in late 2020, much has been accomplished. Allogene Overland Biopharm has built many of the necessary components to succeed, including the assembly of a strong leadership team with highly skilled employees. Most recently, it launched a state-of-the-art large-scale manufacturing facility. Through this venture, we have had the honor of partnering not just with Overland, but also with CEO, Dr. Shuyuan Yao and his team in Shanghai. It is this partnership that will allow us the opportunity to extend the reach of AlloCAR Ts into China, and we look forward to supporting Allogene Overland as they begin to manufacture in AlloCAR T cells. Rightfully so, our focus today has been on CD19 and ALLO-501A, a program that we advanced with the support of Servier under our license and collaboration agreement. We'd obtained rights to ALLO-501A and other CD19 candidates in the U.S. from Servier, while Servier had retained ex U.S. rights. In September, Servier informed us that they would no longer seek to commercialize ALLO-501A or other CD19 products outside of the United States. We are pleased to have obtained the right to opt into ex U.S. rights, which we are carefully evaluating. Our U.S. commercial rights are unchanged. Moving to our third quarter financials. We ended the quarter with $637 million in cash, cash equivalents and investments. Our Q3 2022 research and development expenses were $63.6 million, which includes $11 million of noncash stock-based compensation expense. General and administrative expenses were $18.9 million for the third quarter of 2022, which includes $10.1 million of noncash stock-based compensation expense. Our net loss for the third quarter of 2022 was $83.1 million or $0.58 per share, including noncash stock-based compensation expense of $21.1 million. We are revising our 2022 guidance for spending down modestly. We now expect GAAP operating expenses to be slightly below the low end of our prior range of 360 and $390 million. This includes estimated noncash stock-based compensation expense of $90 million to $100 million and excludes any impact from potential business development activities. Cash burn for 2022 is now expected to be less than $250 million. With that, we will now open the call to your questions.
Operator: Thank you. [Operator Instructions] Our first question will come from Salveen Richter of Goldman Sachs. Your line is open.
Andrea Tan: Hi everyone. This is Andrea on for Salveen. Thanks for taking our question. David, maybe could you speak a little bit more on the process that will be necessary as you transition between your current manufacturing and the Alloy manufacturing? And in particular, what your plans are for comparability studies? 
David Chang: Okay. Andrea, this is David Chang. So let me take on that question. I think what you are asking is in reference to what we have said that will be used in our pivotal study, the Alloy process. This is something that we took a lot of time to come to that decision, and that's based on a lot of data review. And Alloy process has been used in a number of patients that we have treated across our clinical programs. So, the next step, which is all important question about is what are we doing with the Alloy process. We are doing exactly what you're saying, trying to bring that manufacturing process to our own manufacturing facility at CF1 and that involves the steps that we are very familiar with, validating few equipment and deploying our manufacturing personnel from different process that we were using to Alloy process. So, we expect that to occur in a relatively short period of time. 
Operator: Thank you. Our next question will come from Michael Yee of Jefferies. Your line is open.
Michael Yee: Hey David and team. Thanks for the question. With regards to multiple myeloma update, can you help us set some expectations from the standpoint of the bar out there, both from a CR rate standpoint and PFS and overall response rates, which we can all look at just the tables and the labels and the concept that they were perhaps treating different types of patients versus what you will show? And what is the bar to say that this is a good drug and we should be going forward versus what we have out there? 
David Chang: Mike, so yes, 715 will be a part of R&D Showcase, and we will provide update on the 715. And as we've been talking about, the big component of the 715 update is the longer-term follow-up on the patients that we essentially have reported the initial findings back in ASH 2021. So following those patients, both from the durability as well as other sort of response parameters that will be key. So the important question that you're asking about what is the bar, as we've been saying, the multiple myeloma field is evolving pretty quickly. And this is also where the treatment paradigm has really changed significantly over the last couple of decades from limited treatment to something that is a combination as well as sequential. So what we are looking here is really differentiation from other treatment. CAR T currently, two autologous product is approved, but we are coming as an allogeneic CAR T product, and there are many benefits that we can talk about why the allogeneic therapy is needed. This is also a space where bispecifics are being approved, but there are different attributes that we can emphasize about why allogeneic CAR T of the cell therapy is needed. So this is really something that we are in constant discussion with the investigators and others. But let me also emphasize no matter how great the results are, the treatment has to be available to the patients in need, and that is one of the key differentiation. And with that, let me ask Rafael to comment about some of the detailed questions, response rate and all that, which always evolves with a small number of patients that based on which we will be making decisions. 
Rafael Amado: Yes, Michael. So clearly, the data that we presented at ASH last year was pretty encouraging, and it was approaching the numbers of one of the approved products already with the ability to treat virtually every patient that came into the study, and that was very much valued by physicians, particularly the lack of need of giving bridging therapy, GDPR plus rates in the upwards of 45% range. At the time, the durability of response was over eight months, and now we will have at R&D Day, another year of follow-up with additional few patients treated at a given lead for depletion, which we are honing into. So the data is becoming pretty attractive for us in terms of being very close to autologous therapy. Clearly, CAR T has numbers that are superior, but we have patients that really can't wait that come into the study with a region therapy within days of entry, and we get repeatable -- investigators are telling us that this is something that they would definitely use and I would like for us to move forward with clinical trials. So I think there is a space as in any disease for multiple products and definitely for an allogeneic cell therapy, there is definitely room for a product like this. And we will see the profile evolve with time from the time that we presented last in 2021. 
Operator: Thank you. Our next question will come from Tyler Van Buren of Cowen. Your line is open.
Tyler Van Buren: Hey guys. Thanks very much for the update. I understand it's a trade secret, but is there anything more you can tell us with respect to what is unique about the actual Alloy manufacturing process at a high level? And to be clear, when you provide the update on November 29, will you stratify the CD19 and/or BCMA data for patients who received Alloy versus those who have not? 
David Chang: Yes. So, Tyler, you are absolutely right. Things that are related to manufacturing, there are a lot of trade secrets that we will not be able to talk about. But in the R&D Showcase, we will give some insights into why we landed with the outlook process as we're launching the pivotal II study. So stay tuned for the R&D Showcase. 
Operator: Thank you. The next question will come from Asthika Goonewardene of Truist. Your line is open.
Asthika Goonewardene: Hi guys. Thanks for taking my question. Rafael, you just mentioned that in the UNIVERSAL update coming up, you indicated that there will be a few more patients. I was wondering if you could help us out and communicated that like five more patients, 10 more patients, any sense would be helpful. And I guess related, since the October 18, 2021, data cut from the ALPHA2 Phase 1 data presented at ASH, did you enroll and dose more patients on the Phase 1 portion of the study as well? 
Eric Schmidt: Asthika, let me take that one. It's Eric. We're not going to get into exactly how many additional patients we've treated. But of course, at the conference, the Showcase on the 29th, we'll give you a full and comprehensive update of where we are with the program. And certainly, we look forward to your participation in that event. As we've talked about, our focus for both of these programs has been on following up patients longer term that were treated now some months ago and getting a better sense of how they're performing over time. So I think that will be the focus with the Phase 1 program in particular, we've really been eyeing towards starting the Phase 2 for CD19 as opposed to treating a lot more patients. 
Operator: Thank you. Our next question will come from Raju Prasad of William Blair. Your line is open.
Raju Prasad: Thanks for taking the question. Just wanted to get a sense of the EXPAND trial. So it sounds like it's a dose of ALLO-501A with flu cy versus flu cy plus 647 with PFS as the endpoint. So is it really just a show non-inferiority here between the two arms? Or do you want to see increased expansion? I'm just kind of curious to know the measures that were going to be considered a success from that trial? 
Rafael Amado: Yes. Thanks for the question. This is Rafael. Yes, you're right on the design. It's really to isolate the contribution of 647, both to safety and efficacy. And as such, everybody gets 501A at the same cell dose as ALPHA2, we did two lymphodepletion regimens. In terms of the design, we have abundant data with regards to dose response and ability to lymphodeplete from real data. This is not a model data showing a dose response and also correlations between concentrations of ALLO-647 and outcomes, clinical outcomes, which obviously leads us to believe that 647 is required, and it's one of the critical components of lymphodepletion. And we thought the adequate lymphodepletion, there's poor expansion and clinical outcomes are suboptimal. And therefore, we have a lot of conviction that this is going to be a positive trial. The endpoint is actually a clinical endpoint, it will be progression-free survival, and the sample size will be 70 patients. So that gives you a sense of the fact that we are looking for a difference that is meaningful because we'd really believe that the addition of 647 is going to be critical to achieve really meaningful outcomes. 
Operator: Thank you. Our next question will come from Reni Benjamin of JMP Securities. Your line is open.
Reni Benjamin: Hey good afternoon guys. Thanks for taking the questions and look forward to November 29th. Can you talk a little bit -- it seems like in the registrational study, you're going to be treating patients with greater than two lines of therapy? Can you just remind us what was the average lines of therapy in the earlier studies? And did you guys see any sort of worsening, bettering or kind of equivalent or are across different exposures to therapy? And just kind of related to that, were any of the patients post [Indiscernible] in any of the studies? 
Rafael Amado: This is Rafael. Yes, these patients were heavily pretreated. They were -- most of them had received about three to four lines of therapies. We looked at a number of predictors, like therapy with one of them, chromosomal abnormality such as double head, triple heads and other parameters such as LDAs, et cetera. We actually saw efficacy that was relatively comparable across multiple parameters, certainly lines of therapy didn't stand out. That's one of the parameters that would discriminate good responders versus poor responders. So in that regard, the critical criteria is that they are refractory to two lines or more. 
Operator: Thank you. Our next question will come from Mark Breidenbach of Oppenheimer. Your line is open.
Mark Breidenbach: Hey good afternoon guys. So, on the last earnings call, I seem to remember you were talking about exploring pivotal trial options in multiple myeloma by year end. And I guess I'm wondering if that's still the case. And also, can you remind us if UNIVERSAL is excluding patients with any prior BCMA-directed therapies, including Blenrep and some of the BCMA CD3 bispecifics or just the BCMA CAR Ts? 
Eric Schmidt: Mark, this is Eric. Let me take the first part of that question, and then I'm going to turn it over to Rafael to answer your UNIVERSAL question. In terms of our communications around the BCMA program, I think we've been fairly consistent in saying that we'll be providing next steps for the program at year end, not guaranteeing what those next steps could be. And of course, that's something we intend to follow through on at our Showcase on the 29th. So again, please join us at that event, and you'll get our latest thinking on what's next for the BCMA program. 
Rafael Amado: Yes. With regards to BCMA-directed therapy, those were allowed in UNIVERSAL, no patients that had received cell therapy, the patients that have received antibody therapy. And in general, we saw no difference between those that have received that and those that hadn't, but the numbers are small. 
Operator: Thank you. The next question will come from John Newman of Canaccord Genuity. Your line is open.
John Newman: Hi guys. Thank you for taking my question. I'm just curious regarding the Alloy process, if you could talk a little bit about how you plan on incorporating that product manufactured at Cell Forge one after the process is approved for Cell Forge one into the pivotal Phase 2? I'm just curious as to how you're thinking about comparability there with the CDMO product that's being manufactured using the Alloy process at the moment? Thanks.
David Chang: Yes, John, this is David. Let me take that question. Alloy process, obviously, that is the process that we have announced as the product that will support the pivotal study. In terms of some of the questions which are going a lot into the technical details, let me just say that in terms of demonstrating the comparability, we have done that already as we were testing different processes across different programs. So I do have confidence in our technical operations team about the key things that one has to do to demonstrate the analytic comparability. So those things we have experienced it, and we will apply the knowledge that we have as we have to show the analytic comparability. And we'll provide some additional details in the R&D Showcase about why we chose the Alloy process. And also, I realize that we are talking about R&D Showcase in a lot of our answers. And let me just talk a little bit about our decision to have the R&D Showcase, which is something that we have thought very carefully. The ultimate driver for us to go with a Showcase is when we think about the topics that we have to cover based on all the inputs from you, our analysts as well as some of the investors, it's really trying to really recap the history of 501, 501A development and why we landed with the final study design as well as the dose and the lymphodepletion regimen. This is really a complex issue, and we felt that the best way to provide the clarity and not confuse the presentation was more in a setting that has a little more time and also provide other context. So I think this was really the key driver for us to opt at the R&D Showcase to provide the important update on both CD19 and BCMA program. So it's coming up. I mean November 29 is only about less than -- about four weeks away. And stay tuned, really. 
Operator: Thank you. The next question will come from Michael Schmidt of Guggenheim Partners. Your line is open.
Michael Schmidt: Hey guys. Thanks for taking my question. I thought it was interesting to see that you decided to move forward with a onetime dosing regimen for ALPHA2 after looking at consolidation, redosing a lot of the other therapy companies are still looking at -- and I thought that was interesting. I was just wondering, if that is -- that one-time dosing concept is something you think applies to other programs as well, for example, 715 or if that is something that's unique to CD19? 
David Chang: Yes, Michael, very important question. At the end, the key driver for choosing the single dose is looking -- it's a really data-driven decision. I mean we have investigated both consolidation as well as single dose. And when we compare the data, we felt the single dose is as good as consolidation and certainly comes with the clarity of what the treatment is as well as convenience of completing the treatment with a single dose. And when we sort of put all those things together, I mean that the conclusion that we drill came very clear, and that is the obvious way that we will move forward. The second question about is this something that we will do across all different programs. We will continue to make data-driven decisions, and we will investigate and make the right decision on the future programs. 
Operator: Thank you. Our next question will come from Luca Issi of RBC Capital Markets. Your line is open.
Luca Issi: Hello, great. thanks so much for taking the question. Maybe one on the randomized trial for CD19. Can you just talk about why the FDA asked you to use PFS as primary endpoint and response rate, a secondary endpoint and not the opposite? It feels to me that asking for statistical superiority and PFS at some risk to the trial and also will make the trial much longer. But again, we'd love to hear your thoughts. 
David Chang: Hey Luca, this is Dave Chang. Great question. And I think this is more of a technical thing response. So bear with me. In a single study, FDA always has used the response rate and duration of response. When it goes to a randomized study, and there certainly has been many randomized study, the best way to power the study as well as look at the both components of overall response rate as well as duration of response is time-dependent endpoint of progression-free survival. So sorry that my response is some are technical, but this is the most efficient way to really look at the contribution of 647 to the standard full-size regimen, which is the primary objective of that randomized EXPAND study. 
Operator: Thank you. Our next question will come from Jason Gerberry of Bank of America. Your line is open.
Jason Gerberry: Hi guys. Thanks for taking my questions. I just wanted to clarify on that last question, just to be clear, David, is there an explicit regulatory bar for this EXPAND study to support registrational moving forward? If you can just maybe get more specific on that point, that would be really helpful. 
David Chang: So Rafael, do you want to take that? 
Rafael Amado: Sure. I mean it is a study that's powered for superiority and BFS, which in cell therapies because it is really CR that drives long-term responses, there's not a whole lot of difference between durability of response and PFS. So the study is par for superiority and the VAR is set based on the sample size. There's also a question of safety as well, which is important. But there really isn't a set bar other than the one that is detectable by the sample size, which is relatively small, and you can imagine that based on that, it is a reasonable difference that we're looking for. 
Operator: Thank you. The next question will come from Kalpit Patel of B. Riley. Your line is open.
Kalpit Patel: Yes, hey. Good afternoon. Thanks for taking the question. Maybe one for ALLO-605. Can you comment on how the enrollment is going for that trial? Is the interest -- has the interest been maybe ticking up given the manufacturing constraints of approved BCMA therapies? And then do you intend on providing any updates from this study at the R&D event? 
Eric Schmidt: Kalpit, hey it's Eric. Thanks for that question. On 605, yes, as you know, we're in a dose ranging study, a Phase 1 dose escalation study, and that continues. We've talked about having the R&D Showcase focus on the 715 products. So you won't be seeing any data from 605 toward the end of this year, and we'll update you on that program as it goes forward. As you can imagine, yes, there's a fair bit of investor interest or investigator interest as well in all of our BCMA programs. 
Operator: Thank you. Our next question will come from David Dai of SMBC. Your line is open.
David Dai: Hey great. Thanks for taking my question. I just have a clarifying question on the ALPHA2 figure trial. Following on the question on the single dose regimen, maybe could you just talk more about potential to redose the patients in the trial? And would that be put into the potentially later in the trial that you actually could be a redose patients? And if so, what would be the criteria for redosing? 
David Chang: Yes. So David, this is Dave Chang. The redosing question we frequently get. And when I sort of think about the development of autologous CAR T, that's something that we investigated. But from the Phase 2 clinical trial perspective, keep in mind the objective of the Phase 2 study is demonstrate the treatment effect of the single dose. And when somebody requires a redosing, which usually will be the case when there is no benefit or somebody after [audio gap] having responded progresses. In those patients, when that happens, any patients who get redosed will be censored from the efficacy analysis. So going forward, with the pivotal study, redosing is not part of the study plan as regards to the primary objective of the study. But when there is an opportunity, we will definitely investigate the redosing as an exploratory analysis. 
Operator: Thank you. Our next question will come from Jack Allen of Baird. Your line is open.
Jack Allen: Thank you so much and congratulations to the team on the progress this quarter. I wanted to touch on the Servier relationship. And I was hoping you can provide an update as to where things sit there and when we might hear more news? And then as it relates to the ALPHA2 study, how quick do you think you can get sites initiated in Europe? Or would you do that prior to settling the Servier JV well? Thank you so much.
David Chang: Hey Jack, would you mind repeating the initial part of the question, there was a little bit of glitch. We didn't clearly hear the beginning part of your question. 
Jack Allen: Yes. Sorry about that. I was asking about the Servier relationship. I was hoping to understand when we may get an update as it relates to the European rights for CD19 and how quickly you could start to initiate studies in Europe as well? 
David Chang: Okay. Thank you, Jack, for that question. Yes, on Servier, as you know, and as we disclosed back in September, they made the decision to no longer participate in the development of CD19, essentially allowing us the secondary issues outside the U.S. should we choose. We have the option to take over the global rights to CD19. Right now it's, as you know, under our collaboration with Servier. We just have the United States rights. So that's an option that we're going to consider quite carefully. It does come if we choose to with some extra costs, we would be paying for 100% of the program as opposed to our current rate 60%. But certainly, the potential to market the product globally is also an attractive opportunity. In terms of what we're doing right now with the CD19 Phase 2 study, we already planned through the collaboration with Servier to enroll patients in Europe. So our plan was always to conduct the global study that would provide for a global registration should it prove positive. 
Operator: Thank you. Our next question will come from Brian Cheng of JPMorgan. Your line is open.
Brian Cheng: Hey David and team, thanks for taking my question. Just on the Alloy process, if the Alloy process only deploy for CD19, is CD19 -- is Alloy or is there an Alloy equivalent also deployed in your BCMA program as well? Would you be able to give us some color on how long Alloy has been in place? Thank you.
David Chang: Brian, this is David. So I'll take the question about the Alloy, which I think we're getting into a third or fourth time in this call. So Alloy process is one of the processes that we've been testing across our programs, and it has definitely been used in more than one -- more than 501A programs. So it definitely, I mean, being able to generate data from across the program is helping our decision-making. And in the R&D Showcase, we will provide a sort of thought process as well as supporting data about how we came to the plan of using the Alloy for the pivotal study. 
Operator: Thank you. The next question will come from Robert Burns of H.C. Wainwright. Your line is open.
Robert Burns: Hi guys. Thanks for taking my question. Just one from me, if I may. I know you terminated the collaboration with SpringWorks to evaluate ALLO-715 in combination with nirogacestat. I was just curious if during the R&D Day update, we would gain greater clarity as to the reasoning and some of the pharmacodynamic and pharmacokinetic measures from that evaluation? Thank you.
Eric Schmidt: Rob, this is Eric. Thanks for the question. It's an important consideration that we were trying to answer whether or not a gamma secretase inhibitor added to the benefit of ALLO-715 in our hands. And yes, as you know, we discontinued that arm of the study because we didn't see meaningful benefit from the addition of the gamma secretase inhibitor 715, and we'll certainly try and make that data available to you in the future. I'm not sure that the R&D Showcase is the right form to do so. Honestly, we already have a lot of things that we want to talk about, and this trial arm is again not something we're going to be moving forward with the development going forward. 
Operator: Thank you. The next question will come from Dane Leone of Raymond James. Your line is open.
Dane Leone: Hi, thank you for taking questions. I look forward to the R&D Showcase. Could you maybe just clarify what steps still need to happen internally to get the pivotal ALLO-501A studies up and going, both the study itself and then the EXPAND study as well? Just kind of blocking and tackling type stuff, what still needs to be done there? Thank you.
David Chang: Okay. Dane, this is Dave Chang. So in terms of Alloy process, what's needed, everything is already done. We have products that are made in the Alloy process that will be used as we enroll patients into the pivotal study. So there is nothing that is on the critical step in terms of enrolling patients to the pivotal study. Probably what's underlying your question is, what would it take for us to bring the Alloy process to our manufacturing facility. And this is a process in terms of qualifying machines as well as utilizing the cell manufacturing operators. These are the people who actually manufacture the cells at the CF1, start making the products using the Alloy. So this is something that we are very familiar about how to go about doing this, and the work is already ongoing. 
Operator: Thank you. Our next question will come from Ben Burnett of Stifel. Your line is open.
Benjamin Burnett: Hey thank you very much. I had a question on your multiple myeloma strategy. I guess do you think there's any value or is there any interest in trying to elucidate the efficacy profile of 715 or even the TurboCAR in BCMA experienced patients just in the event that autologous BCMA CAR T ends up moving upstream? 
Rafael Amado: Ben, this is Rafael. It certainly is an interesting question. We know that a lot of patients with progression after BCMA directed therapy still are BCMA positive unlike many patients in the CD19 space and whether another BCMA directed therapy may be effective or not, it's definitely a question of clinical interest. I think it's premature for us to really tackle that question with ALLO-605, we are, as Eric said, in dose escalation in the BCMA naive patients, but it's a question that we may consider in the future. 
Operator: Thank you. That concludes our question-and-answer session. I would like to turn the conference back over to management for any additional comments. 
David Chang: Thank you. First of all, thanks for joining us today, and thank you very much for very insightful questions, and we look forward to seeing many of you in person, I hope, at our R&D Showcase later this month. You may now disconnect. 
Operator: Thank you. Ladies and gentlemen, thank you for your participation in today's conference. This does conclude the program, and you may now log off and disconnect. Have a pleasant day.